Operator: Ladies and gentlemen, thank you for standing by. And welcome to the First Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, May 1, 2014. And I would now like to turn the conference over to Mr. John Hayes, Chairman, President and CEO. Please go ahead, sir.
John A. Hayes: Thank you, Jasmine, and good morning, everyone. This is Ball Corporation's conference call regarding the company's first quarter 2014 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company's latest 10-K and in other company SEC filings, as well as the company's news releases. If you don't already have our earnings release, it's available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found on our website. Now before I begin my formal comments today, I'd like to thank everyone on the call and many others for the support, caring and understanding during the loss of both of our friends and colleagues, Gerrit Heske and Ray Seabrook. Many of you know them, and words cannot describe the outpouring of support from our family here at Ball, our customers, our suppliers, shareholders and competitors. Thank you. We will move forward as they would want us to and build upon the legacy of excellence that they have helped create and perpetuate. Now joining me on the call today is Scott Morrison, Senior Vice President and Chief Financial Officer. Like many here at Ball, Scott has also stepped up and is acting as Interim Chief Operating Officer for our global beverage can business. I'll provide a brief overview of our company's performance. Scott will discuss financial and global packaging metrics, and then I'll finish up with comments on our aerospace business and the outlook for the remainder of 2014. Our first quarter results came in nicely ahead of expectations. The momentum we carried into the year continued across all of our businesses throughout the quarter, truly a testament to all of the hard work put in by our people here at Ball. Excellent cost management across our global packaging businesses, volume growth in Europe and Brazil, continued specialty can and beer container growth in North America, key aerospace program deliveries and our disciplined returns-oriented capital allocation strategy drove these results. During the first quarter, we experienced much more constructive beverage can volume throughout most regions of the world than we had seen in the first part of last year. We further improved operating costs in our European segment, and we saw continued growth for beverage cans in the region. We are proud of the work our European beverage team has accomplished at both the plant level, as well as the support functions. We continued to experience strong demand in Brazil, which contributed favorably to the results as preparation for the 2014 World Cup and Carnival extended the summer selling season. North America tinplate container volumes were lower-than-expected in the seasonally slow quarter. And operationally, we got off to a slower start than we would have liked. Scott will go into that in more detail in a minute. And aerospace, for the second year in a row, was awarded Boeing's Avionics Supplier of the Year award. Out of a total of 14,000-plus suppliers that service Boeing, this is yet another example of our close-to-our-customer focus as part of who we are. As we entered the year, we believe that 2014 was shaping up to be a better year than 2013, and the first quarter helped to reinforce this. We're experiencing good global beverage can volumes versus this time last year. Our focused efforts to identify pockets of growth and manage our cost structure are bearing fruit. Both will drive EPS growth, EVA dollar generation and strong and consistent cash flow in 2014 and beyond. And with that, I'll turn it over to Scott for a review of our first quarter numbers. Scott?
Scott C. Morrison: Thanks, John. Ball's comparable diluted earnings per share were $0.81 versus last year's $0.58. In addition to John's comments around better year-over-year global beverage can volumes and cost-out progress, a lower share count contributed to our improved results. During the quarter, we acquired a net $194 million of stock and returned another $19 million to shareholders in the form of dividends. And presently, the majority of our free cash flow is expected to be returned to shareholders via share repurchases and dividends. For the full year, no big changes to our previous financial metrics. Free cash flow is still expected to be in the range of $550 million; share buybacks around $500 million; CapEx around $375 million, with it being more back-end loaded; interest expense at about $163 million; effective tax rate is expected to be in the range of 29%; and full year corporate undistributed is now expected to be closer to $80 million. Net balance sheet debt at the end of the quarter was approximately $3.6 billion. Credit quality and liquidity of the company remain solid, with comparable EBIT-to-interest coverage at 5.2x and net debt-to-comparable EBITDA at 2.9x. Committed credit and available liquidity at quarter end was in excess of $1 billion. For a complete summary of first quarter results on a GAAP and non-GAAP basis, please refer to the notes section of today's earnings release. Moving to operations. Our metal beverage Americas and Asia segment comparable earnings were up roughly $20 million in the first quarter. Year-over-year benefits from cost-out programs, excellent operating performance at the plant level and continued specialty can growth in the Americas all contributed to better segment results. In the quarter, North America volumes continued to be sluggish for standard cans in the carbonated soft drink category. However, cans for beer were up and Brazil volumes were up strong double-digits. Our China volumes were off slightly due to capacity constraints and some regional supply demand issues, though excellent plant performance and efficiencies ensure that our China business continues to generate positive EVA dollars. European segment profit was up roughly $25 million in the first quarter due to mid-single digit volume growth and the benefits of reduced costs. Food and household comparable segment earnings were up slightly in the quarter as mid-single digit volume declines for tinplate containers in North America were offset by mid-single digit volume increases in Europe for extruded aluminum containers. More recently, we have seen some modest price cost compression in the U.S. food and household segment, which will impact us as we move through the balance of 2014. We also were impacted by incremental manufacturing efficiencies due to weather, inventory adjustments and plant performance. In summary, our beverage operating team is doing an excellent job meeting outsized demand in Brazil and favorable demand in Europe, while at the same time, we are preparing for continued manufacturing projects in North America and Europe to further improve our packaging businesses. With that, I'll turn it back to you, John.
John A. Hayes: Great. Thanks, Scott. Our aerospace business performed very well in the quarter. Solid execution and higher award fees on existing programs, successful deliveries and launches and recognition of our aerospace team's performance not only with Boeing, but with other customers were some of the highlights. Contracted backlog at the end of the quarter was $868 million and, as I mentioned on our January call, we are pursuing several large programs that are expected to be awarded by year end. During the quarter, the Ball-built GMI instrument was successfully launched from Japan and began collecting science data on the Earth's rain and snowfall. Also, the Ball-built Kepler satellite, NASA's first mission to find Earth-sized planets in the habitable zone, marked its fifth year anniversary of planet hunting. And so far, it has identified 715 new planets, quite an accomplishment in its own right. Now looking out across our business today. We are not without our challenges. The pricing environment in China has yet to improve. Our North American tinplate business has a bit more headwinds than we have had in the past and volume comps will likely normalize as we head into the back half of the year as the World Cup concludes and we lap a strong second half of 2013. However, and most of all, our business has stepped up and delivered. This quarter was one filled with personal loss and numerous business accomplishments. The term resilience comes to mind, and we are moving forward as a team. I am proud to be a Ball employee. Given the strong start to the year, we remain confident in our ability to achieve our long term diluted EPS growth goal of 10% to 15% in 2014 and beyond, while growing our EVA dollars. And with that, Jasmine, we are ready for questions.
Operator: [Operator Instructions] And the first question comes from the line of Ghansham Panjabi from Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: First off on Brazil, what do you estimate market growth was during the quarter? How much do you think was the World Cup? And on an underlying basis, what do you see occurring in the region? It seems like there's another beer tax being implemented. I guess, what are your customers saying in terms of demand expectations for the year?
Scott C. Morrison: Market in the first quarter was really strong. It was up high-teens. We were up more than that because, if you remember, we put in that new line in the fourth quarter of last year, so we grew about -- a little more than 10 points higher than the market in the first quarter. We are seeing very strong volumes and good growth in specialty cans. I'm a little nervous as to what happens after the World Cup. There seems to be a lot of momentum going into the World Cup. But we'll have to wait and see. And we have tougher comps in the second half because of that line.
John A. Hayes: And then also, Ghansham, I might just add, I think it was even yesterday, the Brazil Finance Ministry raised taxes on beer and soft drink effective June 1. And it's our understanding it will increase the price at the retail about 4% or 5%. And while this could have an impact on volumes in the second half, obviously, how much, it's too early to tell at this point in time. But we are a bit cautious about that in the second half.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. Makes sense. And then on Europe, I know you had an easier comparison from a year ago, but was there anything unusual from an EBIT standpoint, if you kind of think about the year-over-year variance? And if you can isolate for us the cost savings impact year-over-year, that would be helpful.
Scott C. Morrison: It's really a combination. If you look at last year, in the first quarter, volumes were down a fair amount. This year, first quarter, our volumes were up nicely. That, combined with the cost-out programs, the combination of those 2 things, specialty can growth, stronger growth in Eastern Europe, all those things helped the first quarter. So it was a very strong quarter.
John A. Hayes: Yes, I might just add that in a fixed-cost business -- I think we talked about this before -- it's always difficult to separate the cost out from the volume impact, but we are on track relative to our cost-out programs that we've laid out in prior conference calls. And with the added benefit of some more constructive volume, I think that's what you saw.
Operator: And the next question comes from the line of Philip Ng with Jefferies.
Philip Ng - Jefferies LLC, Research Division: Europe was off to a very strong start with the margins in that 12% ballpark already. I know it's a seasonally smaller quarter, but are you guys on track to hit that 12% margin target already for 2014 or should -- could you see some margin pressure with the metal premiums kicking in?
Scott C. Morrison: Yes, we do have some headwinds in the back half of the year from the metal premium that I talked about before to the tune of around EUR 6 million, if it stays where it is right now. I think what we said is, we expect to be kind of in that 11% to 12% range this year. But we're still working. The cost-out programs, as John mentioned, are on track and continue to progress and proceed, but we won't get the full benefit of that until we get into next year, frankly.
Philip Ng - Jefferies LLC, Research Division: Okay. That's helpful. And then, noncontrolling line was up more than 50%. I assume that's mostly Brazil, but can you comment on that? And were there any -- were customers building inventory for the World Cup a little sooner than normal?
Scott C. Morrison: That's a good question. Yes, the answer to the increase in that line is mostly Brazil. And building to the advance of World Cup -- remember, they had a very good summer, so weather was very warm throughout their summertime. Carnival was late, which kind of extended the summer. So we've gotten a couple of benefits, plus then as we start to get into the World Cup. So I think, the combination of all those plus having an additional line that we didn't have last year at this time, all of those helped drive the results.
Philip Ng - Jefferies LLC, Research Division: Okay. And just one last final one. Beer demand in North America was quite strong, particularly for bev cans. Are you seeing that momentum spillover in 2Q? And I just wanted to get a little more color on that front because beer, I don't think, was that strong overall for the category. So are you outpacing the market from share gains or are you seeing a pack mix shift?
John A. Hayes: No, I think it's mostly a pack share or pack mix shift. The overall beer market actually was strong in the first quarter despite some of the weather. And I'm not talking just cans. But cans also continued to grow its share of the package mix within the beer category. Just a little statistic, we've talked about the craft beer industry and how the growth of cans has been helpful there, that the can as a share of the package mix is now in double-digit percent, where just 5, 6 years ago, we weren't selling any cans into that. So there's various trends going on like that, which have been very constructive in the beer category.
Operator: And the next question comes from the line of Anthony Pettinari with Citi.
Anthony Pettinari - Citigroup Inc, Research Division: You referenced some price compression in food and household and some pressure in North American tinplate. And I'm wondering if you could quantify the pressure you saw in the first quarter and what you might expect for the remainder of the year and maybe give a little color on what's driving that?
John A. Hayes: Yes, well, what's driving it is, as most people know, I think to a degree, and we had anticipated this, that there's some new capacity coming onstream in North America. And I think it's certainly in the second half of the first quarter. As a result of some of this competitive activity, we've been nicked a bit going forward. We're going to be standing firm with respect to maintaining our customer base, but we've had to respond to some of the pricing extensions that others have done. But more importantly, I think, assets related to what we've already announced have been moving around. And that's been creating some disruption in our manufacturing footprint right now. And so as we look forward, I think we have some challenges, not only on the pricing side, but also on the manufacturing side that we need to get right. And then as you rightly pointed out, it's seasonally slow. And as we go into the pack, we had a pretty good pack last year, so it's unknown what the pack is going to look like this year. That those are the issues that weigh on our mind when we think about that segment.
Anthony Pettinari - Citigroup Inc, Research Division: Okay. That's helpful. And then just switching to Americas bev. You referenced, I think, stable beverage volumes in North America. If I go back to last year, I think you had referenced double-digit volume declines in 12-ounce cans. So I was just wondering, if you look at your 12-ounce volumes, were they flat or up or down versus last year's comps? And generally, how did you feel about the demand for standard cans that you saw in the U.S. in 1Q given kind of an easier comp, but difficult weather. How do you [indiscernible].
John A. Hayes: Good question. Recall that last year, we had some higher declines in the industry due to a loss of some business a couple of years ago. And obviously, we don't have that now. I think the overall tone for standard cans in North America is a bit better today. Not wholesale better, but a bit better than it was this time last year. We did have some tough weather in the first quarter of this year. But having said that, the overall category was roughly flat, and I described it as specialty being up. And the standard cans, which make up the majority of it, being down slightly. But certainly not down the 4% to 6% as an industry that we had been seeing last year.
Operator: And the next question comes from the line of Scott Gaffner with Barclays.
Scott L. Gaffner - Barclays Capital, Research Division: My question was really on -- first a follow-up on the North American metal food business. I just want to make sure in conjunction with the price compression, have you been able to link them to contracts and lock those customers in for longer periods of time? And second on that, I think when we talked last, you didn't think you were going to see this type of compression just given where your customers are located. Can you talk about maybe something that changed that led to this decision?
John A. Hayes: Well, I think, as we said in the first quarter, that we have a variety of contracts, number one. And what we saw as we went through the quarter is that some other customers and some other competitors that were looking up to lock up volume a little bit more longer term. And as a result of that, our discussions with our customers shifted just a little bit. And so we had to respond to a couple of certain situations. Obviously, when you're in discussions like that, you want to get something, if you have to give something. And so that's what -- whether it's contract length or other things like that. And so that's what we certainly had been focused on. And so, as I've said -- I wouldn't read into it wholesale. It's hurt a little bit, but not -- certainly for our corporation, it's not material, but we did see a little bit more activity than we had expected. We had expected it later on this year, but it just happened a little bit sooner, I think.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. And then when we look to the underlying demand trends in North America with CSD falling and sounds like you're picking up incremental wins, maybe with some small craft beers and whatnot in the beer category. When you look at your overall footprint in North America, are there some changes that would need to be made going forward if that mix continues to shift? Meaning beer outperforms CSD or can you serve the existing customers off your existing footprint?
John A. Hayes: I think the current trends that we saw in first quarter, and recall, it's only a quarter. So a trend doesn't make that. But if those trend -- type of trends continue, as we said in January, we feel pretty good about where our footprint is. We, over the last few years, have taken out a fair amount of capacity, and we've converted existing 12-ounce capacity to specialty. Some of the growth in beer is not only on 12-ounce, but it is also on specialty containers. But I do think just overall, when you take a step back relative to a year ago, the overall tone of the soft drink is a little bit better. The tone of beer, we have beer growth right now and can share penetration growth in the beer segment, so that's good. And then specialty off a bigger base continues to grow nicely. So I just think overall, as an industry, the tone feels a touch better. But again, we're also very cognizant that it was a seasonally slow first quarter.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. And then just one last one on the North American carbonated soft drink market. Have you seen any signs of promotional activity from your customers or are we still sort of in this period of -- where they're trying to improve their margins and maybe not promoting as much? Have you heard anything?
John A. Hayes: I think actually in the first quarter, you saw a little bit more promotional activity than you would have seen in a first quarter in prior year. And I do think, as we've talked in the past, that the CSD customers are trying to optimize this value versus volume equation. And they also recognize that, given the elasticity of CSD and some of the health and wellness issues, that you just can't keep pushing price and expect volumes not to decline. And so we have seen a little bit more promotional activity, but it's way premature to talk about what type of promotional activity we'll see in the summertime.
Operator: And the next question comes from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I want to pick up on the promotional activity. I mean, we've heard from some of the case producers that there is, in fact, a bit more promotion in the soft drink side. Do you think that, that can continue given what looks to have been a little bit more success and a little more volume through retail channel for soft drinks?
John A. Hayes: Again, yes is the short answer to your question. We think there can be some more promotional activity. A lot of it has to do with weather and is more regional. I think what you're seeing -- we used to talk in the years past about promotional activity, and that sounded like it was a national opportunity. You're seeing much more promotional activity done at the very local level, and it's much more on the execution side of that. We have seen more of that certainly in the first quarter. I think we would expect to see a bit more of that as we go into the summer, but time will tell.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Next question. From my take on your commentary regarding North American food, correct me if I'm wrong, but it sounded like you were somewhat disappointed in terms of your execution of your plans as far this year were perhaps being surprised by the activity being a little bit more front-loaded. Is that a fair assessment or is that off the mark? And realizing you can't comment too much on a forum like this, what could you tell us qualitatively about what you're doing to adjust going forward, both from a cost and from a contractual standpoint?
John A. Hayes: Well, first, with respect to some of the headwinds we're facing, we talked a little bit about the pricing side. But we are, as I mentioned, we do have a fair amount of assets related to a couple of plant closures, Elgin, Danville, we have announced in the past year. And candidly, getting the equipment installed and getting it running up to our specifications and expectations has gone a bit slower. And our manufacturing people are working extremely diligent to get that right. But that's just a fact as we sit here today. So that's created some disruption. I think as we go in a bit longer term, we expect that come late summer -- and we had mentioned on earlier calls that we expected to know what we would have to do from a capacity point of view by late spring or early summer, and that's probably been pushed out a month or 2 relative to our capacity adjustments in the second half of this year as a result of the loss of some customer business. But we full well know what we need to do, and it's really just a timing issue of when we begin to execute on that. And the competitor is raising the capacity in by the end of the year. And I think we want to make sure that our customer is being well served, and we want to do it in the right way in this transition. And so we'll probably have a much better view towards mid to late summer.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. John, one other on beverage and taking you back on one of the prior questions. Obviously, first quarter wasn't so bad in light of other quarters from an aggregate standpoint for the industry. Beer nearly bailed out soft drink, so to speak. But considering that traditionally there have been differences in end sizes between the 2, do you have -- if this trend continues, do you have to at least recapitalize on the end making side of your modules or you don't think that, that will be an issue that you can contend with or you have the flexibility on your end-making equipment to change end sizes?
John A. Hayes: Well, the short answer is, I don't think that is an issue we need to contend with. And we have enough flexibility that, that is not a thing that keeps us awake at night.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Last one, and I'll turn it over. The backlog on aerospace did decline. You had called out this year that you would be hoping to get some project wins. Obviously, that's coming later in the year. If you win your rightful share -- and I realize that's difficult to project, where do you see your backlog by the end of the year? What should we be marking to market in terms of good progress or not so good progress for Ball by the end of the year?
John A. Hayes: It's tough to say because, as I said, George, some of these contract wins are going to be in the end of the year. And we don't know if it's going to be December or January. So don't hold me to a number as of December 31. But if we win our fair share through this cycle of new wins, we should be up relative to where we had been 18 months ago.
Scott C. Morrison: But the booking of that -- George, the booking of that into the backlog, we can win something, but then it takes time to get everything back to where it would roll into our backlog. So that's what John is talking about. We may know we win it this year, but it may not show up in the backlog yet.
George L. Staphos - BofA Merrill Lynch, Research Division: Would that be over $1 billion? I'm sorry Scott. Would that be over $1 billion if you get back to where you were 18 months ago?
Scott C. Morrison: Yes. If we win our fair share. And we're, as I've said, about $870 million right now. It would be back over $1 billion.
Operator: And the next question comes from the line of Chris Manuel with Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: If I could follow up from right where George was at, talking about the aerospace business a little bit. I mean, appreciating that for us dumb packaging guys, we don't always understand the aerospace business as well as we should. And also appreciating that it can be a little more complicated understanding when payments come in for performance things that you can't always talk about. You're off to a fabulous start for the year. You are winning some new business, but it sounds like it takes a while. Could this look more like a, from an EBIT perspective, you're off to a good enough start, can it look like a 2013 year? Or does it look more like a 2012 year as you kind of look at or think about how this year is shaping up?
John A. Hayes: Well, just a couple of observations before I try and hit that head on. Our folks performed tremendously well. And we had a very strong quarter and a lot of it had to do with award fees because we are performing. And as you move along in the life cycle of any contract, and, as you know, we have hundreds of them, you de-risk the program, but you also get award fees because of your performance. And that's exactly what happened. It's also the reason why there's been a slow burn in terms of our backlog because as we either complete or move towards the completion of many of those bigger projects, that's where a lot of those award wins would likely occur. To answer your question, does it look more like 2012 or 2013? It's probably a little bit closer to '13 than it is to '12. And the reason why I say that is we've had some great success on the award fees. That can't happen every quarter. And so -- and given that we have the new programs that we're bidding on, we won't hear on many of these until later on this year. I think we're going to see "more normalized" 3 quarters of the year this year. And then depending on how those wins look, 2014, we'll have to recalibrate at that point in time.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That's actually very...
John A. Hayes: Oh, I'm sorry. 2015, we recalibrate. I'm sorry.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: That's helpful. If I could switch gears a second and talk about the bev business over in Asia. Please remind us the sizing of your business, what you have in China versus some of the other regions in Southeast Asia. I think you had some capacity in Vietnam, et cetera. And the pricing and the return characteristics, are they markedly different, I'm guessing yes, between what you're seeing in China and what you are in other pieces and has there been any pressures in the other piece of the business as well? Or how do you -- how should we think about potential for improvement within China?
Scott C. Morrison: Why don't I start, then I'll turn it over to John. In terms of where we're at, remember, our Vietnam is a joint venture, so it doesn't flow -- those volume numbers don't flow through our numbers. We're still seeing nice growth in the market, but there is a lot of capacity, and so pricing is not getting any better. And so what we're doing is doing things that we control on our cost side, to take cost out of our business. And our guys are doing a great job of doing that. So our returns look decent. And it's just not as good as it used to be, not quite as much fun as it used to be, but it's still good. And I think we should -- we just don't see the pricing environment improving materially for this year, definitely. But we're doing the things that we control, and the market continues to grow. So that's a good thing as well.
John A. Hayes: Scott said in his prepared remarks that we're generating positive EVA dollars, so that must mean we're generating returns in excess of 9%, as you all know. The other thing, as Scott said, the volume -- industry volume has been growing quite strong. And we've talked about this in the past with all the overcapacity. How long will it take to -- for the growth to chew into that and create a more balanced supply-demand. The positive is on the demand side, the volumes have been growing strongly as an industry. I do still believe that there's some of those smaller competitors that are putting some incremental capacity in, not nearly as great as it was a couple of years ago, but there is still a bit incremental. But I do think that overall excess capacity is slowly getting smaller. And it's a function of how long it will take to get there, and it would be premature to speculate. I just know it's slowly getting better, but we haven't yet seen it in the pricing.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. Last question along those lines, then I'll turn it over. Is there a marked difference between margin levels, profitability levels, what have you, between what is in China and what is outside of China as you look across Southeast Asia?
John A. Hayes: Not materially -- again, for us, as Scott mentioned, we have a joint venture in Vietnam and then we have a small equity interest in Thailand. And so we have, to a degree, a limited purview, but no is the short answer. We don't see any wholesale changes in what the profile of each of the businesses are.
Scott C. Morrison: Yes. We have the advantage in China of having scale. That probably helps us more so than a place like Vietnam, but that would be the biggest difference.
Operator: And the next question comes from the line of Al Kabili with Macquarie.
Albert T. Kabili - Macquarie Research: First question is, with the better-than-expected first quarter and maintaining the guidance for the full year, how much of a factor was the announced beer tax in Brazil factoring in, in your decision to maintain the outlook despite the very strong 1Q?
John A. Hayes: Well, we had always said that we -- in the second half of the year down in Brazil, that we expected it to be more muted just because of the 2 summer season we've talked about: the extended Carnival, the World Cup. And so the announced beer tax, obviously, has incremental headwinds on it. But I don't think it necessarily fundamentally changed our view as a corporation on what our 2014 would look like.
Albert T. Kabili - Macquarie Research: Okay. I appreciate that. I think I believe the headquarters in Germany recently closed and, Scott, I was wondering if, perhaps, you could help us maybe size up what the incremental cost savings in Europe beverage might be this year from that recent event? I know there's an indication that the full savings probably doesn't occur until next year, but I imagine you're probably going to get something incremental this year from that.
Scott C. Morrison: Yes, just to be clear, the headquarters didn't close. The headquarters moved to Zürich a couple of years ago. We consolidated a couple of office locations that we had in Germany into one. And so with that, there is a reduction in the number of people that we'll have. We've never quantified the dollar amount. What we've talked about is margins getting back to that historical level that we had a few years ago in that business. And we're on track with that, and we're on track with all those plans. So as we move through the year, we'll continue to get the cost-out benefits. And again, in the first quarter, you see the leverage of cost out, but also volume growth. Volume is a wonderful thing in this business when it grows. So we expect to have a solid year in Europe, and it will continue to be decent as we move through the year in terms of achieving those cost-out programs.
Albert T. Kabili - Macquarie Research: Okay. So I guess maybe if I can ask it another way, from -- is there incremental cost savings that has occurred with some of those office closures? Is there some incremental cost savings that will have occurred this year that hadn't yet been seen in the first quarter?
Scott C. Morrison: Yes, we expect our cost structure at the end of this year to be lower than it is at the beginning of this year.
John A. Hayes: Yes, and just I think to Scott's point, Al, just part of it is the consolidation of these German administrative offices. As you know, we have a couple of other projects going on. And so as we move through the second half of last year and as we move through all of this year, we are taking the necessary plans. Just one of them happened to be in the first quarter, late first quarter, is when the 2 German facilities consolidated.
Albert T. Kabili - Macquarie Research: Okay. That's helpful. And then my final question is just on carbonated soft drinks in the U.S. And it looks as if the overall volume trend of carbonated soft drinks is declining a little bit less than the cans are. And I was wondering how you are thinking about the can share within carbonated soft drinks, if there's any additional share -- if there's any appreciable share shift that you're seeing within that as well?
John A. Hayes: The short answer is, I don't think we see any appreciable share difference. I do know that the 2-liter PET was promoted a decent amount in the first quarter. But again, the first quarter is the most seasonably slow. And so that question is better debated come the fall when you actually can see a full year of the summer months related to cans as a share of the package mix. But we don't expect any appreciable changes in the can mix.
Operator: And the next question comes from the line of Tyler Langton with JPMorgan.
Tyler J. Langton - JP Morgan Chase & Co, Research Division: Just had a question on the CapEx side. I think last quarter you talked about $175 million being directed to growth. So I just didn't know if you had any details at this point of where it might be spent, whether you would spend the entire amount? Just any color there would be great.
Scott C. Morrison: Sure. We just don't expect to spend around that $375 million number. I can tell you little bit more. We've got a couple of big projects. One is a new specialty addition to our portfolio, the new shape and size that will happen here in North America. And that will be spent -- really ramped up in the back half of this year to be producing next year. And then we're also adding -- due to the growth in Europe, we're going to add a specialty line in The Netherlands to keep up with the growing demand. And so that will get spent a decent amount again in the second half of this year to be able to be operating by the busy summer season next year. So those are -- we've got some other smaller things, but those are 2 larger ones that we can talk about now.
Tyler J. Langton - JP Morgan Chase & Co, Research Division: Okay. That's helpful. And in terms of just switching back to China quickly in terms of cost out. Is there much more room for improvement with those programs or is it kind of largely in the numbers at this point?
Scott C. Morrison: I think they continue to take -- they're making progress, and I think they'll continue to make progress through this year and even into the next year. We've got some longer-term plans about the way the business is operated. But I think we'll make it leaner and more cost-effective going forward. So they've done a lot of work already, and they'll continue to work through this year and into next year, frankly. I think our -- we're not hoping or waiting for the pricing environment to get better. As John mentioned, we're still making good EVA dollar returns there. And we're going to continue to focus on our cost side so that we're able to participate in the growth in that market and continue to be profitable and get good returns.
Tyler J. Langton - JP Morgan Chase & Co, Research Division: And then if I -- in terms of that capacity that you're adding, can you share any details on sort of how much incremental capacity those lines in the U.S. and Europe would be?
Scott C. Morrison: Well, they're specialty lines, so it's a little bit different if you're talking about capacity. But not at this point, we're not going to share that.
Operator: And the next question comes from the line of Chip Dillon with Vertical Research Partners.
Chip A. Dillon - Vertical Research Partners, LLC: First question, just quickly on the aerospace business. I know you were talking about there's some contract potential later this year. But it looks like in a last 2 quarters, you've had some pretty darn good margins there. And is that a function of the type of work you're doing and could we see sort of this elevated level of margins continue?
John A. Hayes: No. I think it's a function of, as we get closer to the completion of some of these big programs, that's when you really get to recognize you've de-risked the project and you're getting your award fees. Obviously, you don't get award fees at the beginning of a contract. You get it when you're completing it. And I think over the last couple of quarters, that's why you've seen margins do what they do. And that's why you've seen our backlog come off a little bit as well.
Chip A. Dillon - Vertical Research Partners, LLC: Got you. And then changing gears a little bit, you all mentioned 2.5 years ago -- when we were out visiting -- some market data that suggested about 53% of U.S. beer cans were -- beer was -- was packaging cans. I think in Brazil it was like 39% and China was down around 10% or 15%. Could you update us on where you see those regions in terms of the beer share in cans?
John A. Hayes: Yes. You have a good memory. North America was about 53% and, I don't have the data in front of me, but it's in the mid- to upper-50s. It's actually moved up. I'd say, 55%, 56%, 57%, in that range. Down in Brazil, it was in the upper-30s, it's now in the lower-40s on the beer segment. And in China, really back a few years ago, it was really more like 4% or 5% -- excuse me, 5% or 6%. And that has moved up consistent with the other regions as well. So it's probably in the 7%, 8%, 9%.
Chip A. Dillon - Vertical Research Partners, LLC: Got you. Okay. And when you look at -- just one more question on the soft drink side. There's, for whatever reason, sort of a presumption that I sense from you and your competitors that there's no real reason or hope to see a material change -- and maybe this is my perception -- in the share in the CSD segment in places where returnable bottles continue to be the lion's share, and plastic as well. Anything changing there, whether it be in China or in Brazil, in terms of the share in -- of CSDs in cans?
John A. Hayes: No. I don't believe that we see any material changes in the regions you mentioned relative to package share mix. As you know, cans don't play a big part in CSD in those regions you talked about. And so we don't see any big change.
Operator: [Operator Instructions] And we have a follow-up coming from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: A few questions there to clean up from our side. Can you comment at all about -- within North American beer, whether any of your larger customers are planning intensified new product introductions or promotional activities? Some of your customers in the last few years have had some difficulty in the marketplace. So to the extent that you can offer any color, that would be helpful.
John A. Hayes: I think as a general comment, George, every beer company out there, big or small, is looking at the proliferation of tastes and proliferation of new products. And it's not just limited to the big guys. And so I think you're seeing a lot of line extensions, a lot of new products, ciders new, for example, here in North America. And so I could go on and on. But as a general rule, I think you're seeing a fragmentation of taste. And therefore, a fragmentation and a differentiation of the products that our customers are making to respond to that.
George L. Staphos - BofA Merrill Lynch, Research Division: Which in turn is one of the reason that you're seeing the proliferation in alternative can formats?
John A. Hayes: Bingo, you got it.
George L. Staphos - BofA Merrill Lynch, Research Division: All right. Within Brazil, back to the beer tax, I don't know if you have any color on this. But in the past, where there have been instances of these sorts of taxes, what has been the prior volume dropoff? And with the earnings season, I haven't had a chance to really study what the government announced yesterday, but would there be any differential or favoritism applied to beer in one pack form versus another or would it be across the board a comparable tax?
John A. Hayes: Yes. I believe it's our understanding, it's an across-the-board tax on both beer and soft drink. I think in many places, not just Brazil, when you see -- sometimes you see a short-term blip as the supply chain adjusts and price increases are ultimately passed through to the consumer. And so without going into great detail, we expect this to be no different. And so there might be a short-term blip. But again, this is not a wholesale change. Tax in Brazil is part of the everyday life. And so they did it as of June 1, which is kind of surprising, just a couple of weeks before the start of the World Cup. So who knows, maybe all the foreigners coming into Brazil will be paying for it.
George L. Staphos - BofA Merrill Lynch, Research Division: Well, maybe that's a way to sneak it in with a better demand environment so it's less noticeable to whichever consumer, domestic or tourist. Question on sweeteners, do you have any color from your marketing folks in terms of your customers' views on the new sweeteners for diet soft drinks and whether they should be particularly helpful or not really this year in terms of volume?
John A. Hayes: Yes, the only thing I can say, George, is what our customers have said publicly. And they said they have been experimenting and trying. And they would expect in 2014 to be rolling out some trials on various sweetener alternatives. And so that's really all we can say at this time.
George L. Staphos - BofA Merrill Lynch, Research Division: I understand. My last one, then I'll turn it over. Scott, you were saying before that in China, while it's not necessarily as much fun as it used to be, and we understand. You're still making relatively good margin. You're making positive EVA dollars. Do you think your peers are making positive EVA dollars? And the question behind the question is, if they still are, then how do you ultimately call where we sit? And then to the capacity cycle, if the industry broadly are still earning above cost of capital even at these relatively depressed prices?
Scott C. Morrison: I don't think many people in the industry are earning above their cost of capital is my guess. I mean, we've seen some of those companies as they file public documents to go public that weren't achieving their cost of capital. So I think given our scale, our cost structure, we're able to still be able to do that, even in these tougher pricing environments. But I don't think a lot of people -- my guess is, that they're not earning their cost of capital.
John A. Hayes: Yes, and I think it's our -- George, it's our view that particularly with some of the smaller ones there, liquidity has been so free and available with respect to debt financing in China that, that has created this. At some point in time, credit always gets a little bit tighter and as a result of that, when it does occur, we believe that there will be some level of shakeout. But it's premature to say, but that's how we think about it.
Operator: And we also have a follow-up coming up from the line of Chris Manuel from Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: I just had one kind of quick one, more along the lines of capital allocation. You mentioned within the press release -- something that jumped out of me was, looking in extruded aluminum with new products -- I don't know if you said new capacity, but new customers, some new things. Could you maybe talk to us there about recycled? I know you've made virgin slugs here, but it sounds like you're doing some recycled elements with those. What's the outlook or thoughts with respect to also making some containers here, maybe in North America? Could you -- and maybe give us a little color from that front.
John A. Hayes: A couple of things that you raised there. Number one, I think, in terms of the new products, not only -- that category, we're always coming out with new shapes, new sizes with our customers, but we're also, to your point on the slug side, we, this year, we have actually commercialized, and it's in the market over in Europe with our ReAl slugs, which is a much higher recycled content, which provides more rigidity to the container at a lighter weight container. And so we think it's a pretty neat innovation that our folks came up with. And so that, as I said, now commercial in the European marketplace. And as we look to expand it and roll that out, we will continue to do so. We also, as you know, have a facility down in Mexico, and that's been going recently nicely. The volumes have been growing. We always wish it could grow a little bit faster, but it's going okay. But it's also provided a dialogue with our customers, an incremental dialogue with our customers about what else we can be doing. And I wouldn't be completely shocked if you, at some point in time, saw us making those containers somewhere in a facility in North America. But that's probably all I can say at this time.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That's very helpful, actually. The second element with capital allocation. I know you guys historically have done a great job of balancing 3 different ways that you've gone back and redistributed more through capital, whether it's dividends, repurchase, whether it's investing in your own businesses, whether it's acquisition. As you kind of look today, the acquisition market, there's still a lot of activity. How would you -- in a way that you're able to address it, sort of talk about the environment as it sits today, more active, less active, seeing better things coming to market, worst things coming to market? Again, appreciating that it's sometimes a difficult topic to broach.
John A. Hayes: No, I appreciate that. As you know, we're always looking at opportunities. And to be honest, we're pretty disciplined when it comes to capital allocation. So you never know when it will pop. We've talked about this in the past where the deal wheel or the sponsor world, private equity world, with the rates and availability of capital being where they are, it's always incrementally more challenging for us to find the right return type projects, but we continue to look at those. And as I said before, you just don't know when they're going to pop. But our pipeline, not only now, but in the past, has been reasonably robust. It's just a function of, is it the right opportunity and the right time?
Operator: And there appears to be no further questions over the phone lines at this time. Mr. Hayes, I will now turn the call back over to you for any closing remarks.
John A. Hayes: Okay, thank you very much, Jasmine, and we appreciate all your support. And we look forward to speaking to you in several months. Take care.